Operator: Hello. Thank you for standing by. This time, we would like to welcome you to the Q2 2025 The Cooper Companies Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. Followed by the number one on your telephone keypad. I would now like to turn the conference over to Kim Duncan, VP of Investor Relations and Risk Management. Please go ahead.
Kim Duncan: Good afternoon, and welcome to The Cooper Companies' Second Quarter 2025 Earnings Conference Call. During today's call, we will discuss the results and guidance included in the earnings release and then use the remaining time for questions. Our presenters on today's call are Al White, President and Chief Executive Officer, and Brian Andrews, Chief Financial Officer and Treasurer. Before we begin, I'd like to remind you that this conference call will contain forward-looking statements, including statements relating to revenues, EPS, cash flows, FX and tax rates, tariffs, and other financial guidance and expectations, strategic and operational initiatives, market conditions and trends, and product launches and demand. Forward-looking statements depend on assumptions, data, or methods that may be incorrect or imprecise, and are subject to risks and uncertainties. Events that could cause our actual results and future actions of the company to differ materially from those described in forward-looking statements are set forth under the caption Forward-Looking Statements in today's earnings release, are described in our SEC filings including Cooper's Form 10-Ks and Form 10-Q filings all of which are available on our website at coopercos.com. Also, as a reminder, the non-GAAP financial information we will provide on this call is provided as a supplement to our GAAP information. We encourage you to consider our results under GAAP as well as non-GAAP and refer to the reconciliations provided in our earnings release which is available on the Investor Relations section of our website under Quarterly Materials. Should you have any additional questions following the call, please email IR@CooperCo.com. And now I'll turn the call over to Al for his opening remarks.
Al White: Thank you, Kim, and welcome everyone to today's fiscal Q2 earnings call. This was another solid quarter with consolidated organic revenue growth of 7% led by double-digit growth in both our daily silicone hydrogel lenses at CooperVision and our office and surgical portfolio at CooperSurgical. We also continued executing at a high level, delivering operational improvements and OpEx leverage that drove double-digit non-GAAP earnings growth. Similar to other companies, we're dealing with a more complex global operating environment, but we're controlling what we can by executing well. Including taking share delivering leverage, launching products, and completing capacity expansion projects. We'll cover all of that on today's call. Moving to the numbers. Consolidated revenues were $1,002,000,000 up 6% year over year or up 7% organically. CooperVision reported quarterly revenues of $670,000,000 up 5% or up 7% organically. CooperSurgical posted quarterly revenues of $333,000,000, up 8% or up 7% organically. Margins improved nicely, and non-GAAP earnings were $0.96 up 14% year over year. For CooperVision and reporting growth rates organically, The Americas grew 8%, EMEA 6% and Asia Pac 5%. Within categories, torics and multifocals grew 7%, and spheres were up 6%. Within modalities, our daily silicone hydrogel lenses, MyDay and Clarity, grew 10%. And our silicone hydrogel FRP lenses, Biofinity and Avera, were up 6%. Our myopia management portfolio grew 19% with MiSight up 35%. Turning to products and starting with daily silicone hydrogel lenses. MyDay continued growing double digits with particular strength in torics multifocals and our innovative Energous offering. We remain very bullish on this product family as we increase availability in new markets and in new channels, to capitalize on opportunities from greater penetration in existing accounts and with new customers. With improved capacity, we're back to being aggressive and that can be seen in a number of areas, including increasing availability of our multifocal and extended toric ranges, new launch activities such as MyDay Energous in Canada, and our upgraded Clarity One Day Sphere with WetLock technology in Japan, and expanded private label discussions. A lot of this activity is tied to increasing fitting sets and trial lenses, so we expect this to accelerate revenue growth starting in fiscal Q4 which is supported by the strong fitting activity we're seeing today. Add a little more color, we just launched MyDay Energous with its innovative digital boost technology in Canada through a series of well-covered events, and early feedback is extremely positive. We're receiving significant requests for fitting sets, and initial orders are rolling in. Meanwhile, our MyDay toric parameter expansion which provides eye care practitioners with the widest SKU range by far, for a daily toric lens continues progressing well across North America and Europe. And we'll be launching the range expansion in targeted Asia Pac markets soon. And lastly, MyDay Multifocal's unique advanced three ad design paired with its easy fitting system is performing exceptionally well as market availability continues to increase. Turning to Clarity. We posted solid results with this high quality, lower priced lens portfolio offering a great alternative to MyDay. The redesigned multifocal, which now mirrors my days, design, is a fantastic product and grew double digits this quarter. And I could speak to this product's great handling, comfort, and visual acuity as I'm happily wearing them right now reading this script. Moving to frequent replacement lenses, Biofinity continues strengthen its position as the number one contact lens in the world with more people wearing it than any other lens. We're seeing nice growth throughout its full portfolio of market leading prescription options, including Spears, Torix, multifocals, extended ranges, made to order products, and Energous. Biofinity provides eye care practitioners the ability to fit an amazing 99.9% of all patients by far the widest offering of any contact lens family on the market. Turning to MiSight, we saw growth in bidding activity accelerate this quarter with revenue reaching $25,000,000 up 35%. A key component to the improved bidding activity is the implementation of a new pricing model initiated following the conclusion of our global pricing review that confirmed that the annual wearer cost is not a significant barrier. To greater bidding activity. Price certainly matters in training eye care practitioners and educating parents on myopia is important. But the key driver is just getting kids into the lens. Once kids begin wearing MiSight, they love it. And with retention rates running around 90%, they stay in it. And when parents verify the benefits of the treatment with their ECPs, they're sold on the technology. With this data, our focus is now heavily on reducing upfront thinning barriers by offering promotions such as an initial one to three months free. This provides a no risk opportunity for parents to get comfortable with their children wearing contact lenses and for kids and young adults to get comfortable wearing contacts for the first time. With a broader rollout of this strategy along with the launch of a large key account private label deal, we're already seeing a nice acceleration in bidding activity in EMEA. And we expect similar success in other markets. This new initial pre fitting period will result in a moderate headwind in Q3 but based on current fitting activity, we expect a considerably stronger Q4. And lastly, we're progressing well with our launch planning for MiSight in Japan, along with MyDay MiSight in EMEA with both anticipated to occur in early 2026. Moving to CooperSurgical, we reported revenues of $333,000,000 up 8% or up 7% organically. The quarter was driven by success in our surgical medical devices, labor and delivery portfolio, and PARAGARD. Fertility was a little softer than we were expecting, so let me start there. For the quarter, fertility revenues were $127,000,000 up 3% and up 2% organically. Although supported by positive signs, such as double digit growth in our donor business, and in our Witness System consumables that Fertility Labs use to track activity, overall growth was lower than expected due primarily to market softness. This was largely tied to Asia Pac where fertility cycles continued to decline year over year, and from fertility clinics managing cash tighter, which is including delaying capital purchases and installments. and our growth. We expect this softness to continue and to put pressure on market growth Having said that, cycle growth in EMEA and The Americas remain solid, which supports the market near term. And we remain incredibly bullish on the long term prospects for fertility as the underlying growth fundamentals remain intact. Including women delaying childbirth, improving access to treatment, increasing patient awareness, increasing benefit coverage, and improving technology. Additionally, it's estimated that one in six people worldwide will experience infertility at some point in their lives, So this is an issue that impacts a lot of people. And as a leader in the space, we will continue delivering innovation, launching new products and services, providing extensive clinical training, and expanding geographically. Moving to office and surgical. We posted sales of $206,000,000, up 13% or up 10% organically. As mentioned on our last earnings call, we expected a strong Q2, and we delivered. Performance was driven by strength in minimally invasive gynecological surgical devices, such as our Ally Uterine Manipulator portfolio, and within labor and delivery with products such as Fido Pillow, our cervical ripening balloon. Although not included in organic growth, we also saw considerable strength in OBP Surgical, our most recent acquisition of an innovative suite of single use lighted cordless surgical retractors which grew 31%. PARAGARD grew 18% this quarter, supported primarily by the conclusion of buying activity before our May 1 price increase. But also due to continued interest in our new single hand inserter, which we launched earlier this year. With PARAGARD now having grown 15% through the first six months of the year, heavily driven by channel fill. We now expect a mid teens decline in fiscal Q3 before a flattish Q4 resulting in low to mid single digit growth for the full fiscal year. To conclude, let me comment on our revenue guidance. Which we're tightening and raising at the midpoint. This incorporates our solid Q2 performance and the positive impact from updated currency rates. Offset by lower organic growth rates that corresponds to a reduction in our market growth assumptions for contact lenses and fertility. For contact lenses, the industry grew 4% in calendar Q1, so we're reducing growth expectations to the four to 6% range for the year. Down from five to 7%. This new range matches the industry's historical growth range which we saw for many years pre COVID. With this change, we're adjusting CooperVision's organic growth expectation to 6% to 7%. To be fair, industry pricing remains solid and consumption remains healthy, so this may prove conservative depending on market conditions and channel inventory. For CooperSurgical, we're reducing market growth expectations for fertility to the low single digits down from mid to upper single digits, and correspondingly reducing our fertility growth expectations. This is partially offset by the strength we've seen in PARAGARD, but still reduces CooperSurgical's consolidated organic growth rate to the three and a half to four and a half percent range. Again, it's important to note, our commercial execution at CooperVision and CooperSurgical remains strong. And we're taking share. But against an expectation for softer market growth. And with that, I'll turn the call over to Brian to cover our financial results in more detail including our earnings guidance. Thank you, Al, and good afternoon, everyone. Most of my commentary will be on a non GAAP basis, so please refer to the earnings release for a reconciliation of GAAP to non GAAP results. For the second fiscal quarter, consolidated revenues were $1,002,000,000.000 up 6% as reported and up 7% organically. Consolidated gross margin was 68%, up from 67.3% driven by continuing efficiency gains and mix. Operating expenses increased 6% but declined as a percent of revenue to 43.1% driven by leverage in several functional areas, as prior investment activity continues to yield positive returns. One line item worth highlighting this quarter is R and D. Where expenses increased 21%. Investments in this area were higher than historical levels, for both CooperVision and CooperSurgical as development work continues on several exciting projects. For competitive reasons, I won't get into the details, but we're certainly looking forward to launching these new products in future years. Consolidated operating income was up 11%, improving the operating margin to 24.9%. Below operating income interest expense was $23,500,000 and the effective tax rate was 14.6%. Non GAAP EPS was $0.96 up 14% with roughly 101,000,000 average shares outstanding. Free cash flow was $18,000,000 with CapEx of 78,000,000 Net debt increased slightly to 2,470,000,000.00 while our bank defined leverage ratio reduced. To 1.9 times. Lastly, repurchased approximately 537,000 shares of stock back this quarter for roughly $40,600,000 This leaves $215,800,000 of availability under our Board approved $1,000,000,000 repurchase plan. Moving to fiscal 2025 guidance. We're adjusting our revenue guidance to incorporate Q2 improving FX rates and updated market assumptions. On a consolidated basis, this translates to revenues of roughly 4,110,000,000.00 to 4,150,000,000.00 up roughly 5.5% to 6.5% or up five to 6% organically. CooperVision's revenue guidance range is now 2,760,000,000.00 to $2,790,000,000 up roughly 6% to 7% as reported and up six to 7% organically. CooperSurgical's range is 1.35 to 1,360,000,000.00. Up five to 6% as reported. Or up 3.5 to four and a half percent organically. Regarding gating for revenues, we expect organic growth in Q4 to be stronger than Q3 when considering year over year comps the timing around the rollout of products at CooperVision, and the gating impact of Paragard for CooperSurgical.
Operator: For earnings,
Al White: we're raising our non GAAP EPS guidance to $4.05 to $4.11 which is growth of roughly 10% to 11.5% year over year.
Operator: For free cash flow,
Al White: our seasonally low Q2 after a seasonally low Q2, we expect sizable improvements in the back half of the fiscal year and continue to expect free cash flow to be in the range. Of $350,000,000 to 400,000,000 We'll prioritize debt reduction with these proceeds, but also opportunistically evaluate share repurchases as we did in Q2. Regarding tariffs, we expect a negative impact to cost of goods this year of roughly $4,000,000 which is built into our guidance. It's too early to guide the next fiscal year, but to help level set everyone, If tariffs remain as is, we expect a pre mitigation negative impact of roughly 3% to fiscal 2026 earnings. Once we have clarity on what the tariffs will be, will implement mitigation actions to reduce this impact. With respect to the impact of currency and revenues and earnings for fiscal 2025, we now expect a roughly 05% headwind to revenues and a roughly 1% headwind to earnings. This is down from roughly 1.54% headwind to revenues and EPS, respectively. That was assumed in last quarter's guidance. There are a number of moving parts but to summarize our updated guidance for earnings. We're increasing the midpoint of guidance. By $0.10 passing along the positive impact of currency and our Q2 beat offset by tariffs. With that, I'll now hand it back to the operator for questions.
Operator: Thank you. Will now begin the question and answer session. Simply press 1 again. You will be allowed to ask one question and one follow-up. Our first question comes from Jeff Johnson from Baird. Please go ahead. Thank you. Good afternoon, guys. Alan, I was wondering if we could just start contact lens end market. Sorry if that's my phone making some noise there. I guess my question more than anything is last quarter, you seem to be a decent amount below market or point or
Jeffrey Johnson: below market for CVI. This quarter, a point or two above. It'd be interesting to hear kind of some of your on eye data, other independent industry data that you might have because it does seem like channel inventory has really been making it hard to compare your growth rates versus others. The last couple of quarters when we just look at revenue reported from the different companies. So any on I data and or other independent industry data you could share?
Al White: Yeah. Good question. Fair question, certainly, because the numbers are bouncing around for ourselves and for some of our competitors. Right? As you see some of the channel move around. And I think that's gonna continue, frankly, because distributors, retailers, people are just a little bit tighter with their money than they have been historically. So reduction in channel inventory is something that's probably gonna continue to pressure us. When I look through for the fit data, our FIT data remains strong. As a matter of fact, it's accelerating right now. So as we get more aggressive putting MyDay fitting sets out in the market, and finally have some availability for trial lenses for people, we're starting to see a a pickup in MyDay activity which is great in a number of markets. I touched on kinda MiSight's same thing that we're starting to see at MiSight was an acceleration of some fitting data. So I would say kinda behind the scenes, underneath the numbers, if you will, is some improvement in fitting activity.
Operator: Our next question comes from Issie Kirby from Redburn Atlantic. Please go ahead.
Issie Kirby: Hey. Thanks so much for taking my
Issie Kirby: I wanted to ask about the lower market growth assumption. So Vision Care for this year. When do you think about the four to six versus where you're at earlier in the year? Is this lowering of the guide really more on perhaps softer pricing? Is it more on volume, or is it really around mix as Just help us understand some of the puts and takes there. Thanks.
Al White: Sure. Yeah. The the market for a long time was growing kind of in that 4% to 6% range, and it's been stronger than that post COVID. And I think at the end of the day, we're back to that kind of growth range. And I know a couple of our competitors more recently had said that You know, I I'm pretty consistently and optimist when it comes to the market. But I do have to look at market data. Right? And you look at calendar Q1 and the the industry grew 4%. And at the end of the day, the bidding activity is still pretty good out there. As I said, it's accelerating some for us. Pricing is still sound. I'm not seeing anything when it comes to disc or any pricing activity. As a matter of fact, the rumblings in the market, are there gonna be some potential price increases here as we move forward? Volume is still good. The mix shift as as see in a mix shift over to dailies is driving a lot of the growth. The torics, multifocals, especially lenses, that kind of stuff is still doing well. So I still remain an optimist about it, but I also have to be practical and say, hey. Look at the numbers of where they came out. They came out at 4%. For calendar Q1. If I look at the growth for this full year, you know, it's probably more mid single digits, probably, historically, ranges, and I think we'll take a little bit of share. So at the end of the day, I don't take back anything on what I've said about our business. Continue to do well. I continue to think we'll take share. But if the market's growing four to six, and and I say we're growing six to seven, that's still decent market share gains that I'm still com with that. So it's it's more taken down the market just for kinda general softness, if you will. Rather than a a specific thing I'm pointing to.
Issie Kirby: Thanks. That's helpful. I'm not sure I can squeeze in a a follow-up on the fertility and the IBS market that and just any more color about really what's driving the softness in in Asia And then any thoughts on really the consumer or the cyclical risk to IVF demand in The US? Thanks.
Al White: Sure. I think there's two pieces to that. Asia Pac, is yeah. It's down on cycles. Now some of that goes to like the year of the snake in China, which is impacting some of the some of the cycles there where I think some women either move forward faster or have delayed IVF cycles a little bit to to avoid having a child in the ear of the snake. So I I my gut tells me that's a little bit more of a temporary thing for Asia Pac that we'll work our way out of we move through this year. The consumer side of it, I I do think that there's a little bit there on the consumer side. Now we became a large fertility player, frankly, number one fertility player in the marketplace when you look at med device, you know, probably starting ten, eleven, twelve years ago. So this economic difficulty is something we haven't lived through, but I think there is a little bit of consumer pressure there. You know, you're talking about a a process that could cost somebody $1,520,000 dollars. A lot of that all of that potentially is out of pocket. I think when you combine that with fertility clinics themselves, just tightening up a little bit in terms of what they're doing with expansion activity and channel inventory, that kind of thing. I think you when you put that together, you're getting a market that's growing a little bit softer. And, you know, last quarter, I was still very optimistic about that and thinking we would be able to work through that. I'm not sure that's the case right now. And, again, I have to look at the market numbers. And when I look at the market numbers, our results some results of our competitors and what I'm seeing from some clinic and cycle activity, As much as I wanna be an optimist and think it's gonna be better, I think that fertility, the industry probably more is a low single digit grower this year.
Operator: Okay. Question comes from Larry Biegelsen from Wells Fargo. Please go ahead. Good afternoon. Thanks for taking the question. Al, can you hear me okay?
Al White: Yep. I can hear you there. Okay. Good. Good. So, Al, the the back to the contact lens market. think you said in fiscal in calendar Q4, it grew 9%. Calendar Q1, 4%. Obviously, a big deceleration
Operator: What changes are you seeing in the market at the distributor level?
Al White: And what changes are you seeing, you know, from consumer behavior? And and in which geographies? We've heard that just consumers you talked about fittings being strong. We heard consumers are just buying lower supplies. In other words, three months as opposed to twelve months. And any color
Operator: on April and May trends? And I did have one follow-up.
Al White: Yeah. Larry, I think you're you're spot on there. That's some of what we're seeing, which is when I talk about channel inventory, a lot of times people think about that in context of, you know, contact lenses at a distributor, but that does run through obviously, distributors, retailers, individuals who are holding contact lenses, you know, in their medicine cabinet, so to speak. And if somebody not buying a year supply, but they're buying a three month or six month supply or they're adjusting their wearing habits just a little bit, you know, and and maybe stretching the lenses or or something. You know, all that stuff has an impact. So you end up in a situation where consumption or fitting activity and so forth continues to look good. But you get a little bit of softness in your revenues. And and I think that's the situation that we're in right now. I got April, May trend down. April, May trends go back, I think, I'm remembering right. April was the best month that we've had this year. May, fine. Certainly fine starting off this month. I mean, it it's just I think what we're talking about, I think there's just a little bit of general pressure over there. There's not there's not a a, like, a big glaring thing that's coming out there that we can point to other it's more just general market softness. in in CVI and CSI, And and, Brian, Q3 versus Q4,
Brian Andrews: how much lower do you expect Q3 to be? I mean, you you expect it Q3 to be for both in the range of the full year organic growth guidance. Thanks for taking the question.
Al White: Larry, thanks for the question. I guess
Brian Andrews: what I would say is if you're trying to model Q3,
Al White: I would think about those two vision and surgical being sort of below the the bottom ends of the guidance ranges and then looking at Q4 kind of conversely at the above the at or above the top end of the guidance ranges.
Operator: Our next question comes from Jonathan Block from Stifel. Please go ahead.
Jonathan Block: Hey, guys. Thanks, and good afternoon. I guess maybe just following up on a on a couple questions here. So Al, where are we with inventory? Maybe if you want to break that apart amongst the distributors and the consumers in your view and, you know, what's the company's expectations going forward, call it, for the rest of the year? Because seems like you're landing right around six and a half for one age. So
Al White: so much too dissimilar, one age, two age when we look at you know, year ago. So
Jonathan Block: you know, curious what the assumption
Al White: there is and just
Jonathan Block: overall market growth, and we think we have a type sorry. The the phone when we think about how to tie up for the balance of the year. Thank you.
Al White: Yeah. I think that I think that we're just gonna continue to get pressure as we move through this year from inventory levels on a year over year basis. I wouldn't put my finger on one particular thing again. I wouldn't come back and say, focus on distributors in The US or focus on retailers in Europe or in Asia Pac or something. I would say just generally, I think as an industry, we're gonna continue to have pressure on inventory levels on a year over year basis. And as Larry said, you know, somebody buying a three month rather than a six month or a three month rather than a year or something like that. I think that that's what we're gonna see. Now I don't wanna overdo that, by the way, because, I mean, you look at us, our midpoint of our guidance was 7.5, and now our midpoint of our guidance is 6.5. Right? And the market is just coming down a point. So I don't wanna overdo this. Right? But I do think that we're gonna see kind of that consistent pressure as we move through this year. And then, I mean, we'll lap that, obviously. Right? And and inventory will have reset itself down a little bit and probably lower than it should be. But I think we kinda just see that through the year. Not a dramatic shift in any individual quarter, but just a little bit softer all year long.
Operator: Okay. Maybe just a quick follow-up. Seems like just a a change in June fertility. Right? And you know he's been
Al White: relatively resilient, consumer able to power through through a different messaging this quarter in in my view. And so how do we think about that, you know, over the next
Jonathan Block: handful of quarters? Is it sort of this is the new trend line, we're probably safe as extrapolating that out? Until we get better clarity from a macro perspective. Just to get out, the messaging seems a little bit different than maybe just a one quarter blip, you know, which the cap equipment had been responsible for here or there before.
Al White: Yeah. And and, you know, I mean, we have a great, obviously, market leading fertility team, and and our team know, knows the industry and what they're doing like the back of their hand. And we grew, I believe, was 14 out of 15 quarters double digit. Before we got into Q1 of this year, and we've had the softer Q1 and Q2 of this year. So I look at it right now and say, okay. With that level of growth that we had, that level of excellence and so forth, and now you see you know, the pullback to where it's at right now. I think you're getting some of this kinda temporary activity out there as as as concerns with the economy or whatever you wanna call it. Have tightened up activity within fertility clinics. To me, I think we probably swung that a little bit too far, it feels like. And I think the fertility industry and us also, you know, gets a little bit stronger here, and I would be really surprised if Q3 and Q4 don't show strength. In comparison to the beginning of this year for the industry and for us. But I don't think right now that it it jumps back up. I'm not confident like I was last quarter that jumps back up to the mid or up single digits. I think it's more low single digits for the market. You know? Maybe a little bit stronger, Us mid single digit kind of growth in Q3 and Q4.
Operator: Our next question comes from Robbie Marcus from JPMorgan. Please go ahead.
Robbie Marcus: Great. Thanks for taking the question.
Al White: Sorry to belabor the point here. But as you think about the lowered guidance for the rest of the year, I guess I'm still a little unsure. How much is from what you've actually seen in results so far? Because you did put up seven. On a really tough comp in CVI. How much is you know, what you're expecting how much is what you're seeing so far in fiscal 3Q, And maybe just walk us through if if fits are so strong as it changes in inventory or or so on. Maybe just put all the pieces together.
Operator: Thanks.
Al White: Yeah, Robbie. It's a great question. Right? And and you could certainly make an argument that we're being conservative here based on underlying data and the survey data and so forth that's out there when you look at consumption and fit activity. And I sure as hell hope we are. But I also look at it and go, okay. Well, what is reality? Like, we had a 4% quarter here. We are seeing some pressure. From from the marketplace, if you will, in terms of channel inventory. We can't ignore that. Right? So I hope I am being conservative, but I don't wanna ignore that. And and because of that, I'm not not a dramatic shift down, but it is a reduction. Now to be fair, obviously, and to be clear, right, I mean, moved in our favor. We passed all that along. Our actual midpoint of our revenue guidance on an as reported basis is higher year over year. But, again, to go back to just the organic growth of the industry itself, yeah, I think it's just a matter of not ignoring the fact that something's going on with the channel inventory, and it's coming down. Because the true the fitting data, consumption data, that type of activity, pretty much on a global basis, by the way, continues to be pretty good.
Robbie Marcus: Okay. Great. Maybe
Al White: just one on margins moving forward. You you've shown good margin. Progression first quarter and second quarter here. As we think about the rest of the year, how should we think about the cadence of margins and where that will come from? On the lower revenue guide. Thanks.
Brian Andrews: Yeah. Sure. Hi, Ravi. Thanks for the question. Yeah. The
Al White: margin story is very much a continuation of what we've been seeing. We're getting efficiency gains leveraging investment activity from prior investment activities, our gross margins up year over year again this quarter. I'd expect in the second half of the year, margins are up year over year for the second half. That'll help drive operating margins higher. You know, we're still getting leverage from investment activity. Prior investment activity in the OpEx line items, distribution being one of them, but certainly across a number of the support functions, we are being very disciplined in managing our investment activity, and being disciplined around cutting some costs where it makes sense so that we can drive leverage through the P and L. So I would expect that what you'll see in the back half of the year is a continuation of the story that you've been seeing which is better operating margins year over year.
Operator: Our next question comes from Craig Bijou from Bank of America. Please go ahead.
Craig Bijou: Good afternoon, guys. Thanks for taking the questions. Wanted to start with a follow-up just on not the contact lens market, but necessarily but your outperformance of of the market and you know, I I think the outperformance is still the same even though you lowered the guidance. I I think it's still 50 basis points above the market at the midpoint. So maybe, Al, just with some of the you know, moving quarters, you know, some quarters you beat, some you're a little bit below the market. Just what gives you the confidence that you can outperform the market for the rest of the year?
Al White: Sure. I think there's two things tied to that. One is we spent a lot of time over the last couple of years talking about MyDay and the demand in MyDay. It still remains strong out there. We're getting a lot of fitting sets and trial lenses out into the market so that more people try that product. We're in active discussions right now talking about expanding private label contracts that we have, deals that we have. Getting more MyDay into the channel. So when I look at it, I look at the fitting activity and the interest in that product right now that I see around the world, I feel pretty confident that that that MyDay is gonna get going. It's gonna accelerate some. Now I think it'll take just a little bit, as Brian said, because a lot of it's going to, again, trial sets and free lenses, that kind of thing, you know, right now. But I but the fitting activity is there. I see the fitting activity. We see the improvement in it. So I think we'll have a strong stronger Q4. The other thing when it comes to take a market and you're right. Like, the market right now, the midpoint of market we're talking about is 5%, and we're six and a half percent. So we are not backing away from taking share in this market. That has remained consistent. The other one I would say ends up being MiSight. You know, MiSight's on a hundred million dollar run rate. We'll do over a hundred million dollars in revenues for MiSight this year. Maybe it's not growing quite at the clip that I thought it was gonna grow, but we still probably do 3035% growth in MiSight this year. And I think you're gonna see an acceleration in MiSight activity in Q4. That's gonna be our strongest quarter because, again, I could see a lot of bidding activity right now, and I see a lot of kids starting to that product. We see that especially true in Europe right now where we're seeing pickup. We got a brand new large private label contract we entered into first one like that. That's going out with MiSight Technology in Europe. We're seeing fitting activity associated with that. It's tied to free lenses up front. Try it. You'll like it, and you'll keep it. But we're seeing that fitting activity right now with my side. So when I look at that, I think we've got a a excellent opportunity to continue to take market share.
Craig Bijou: Thanks, Alan. Maybe for Brian, just on tariffs. Can you just help us give a little bit of color on what's driving that $4,000,000 that you have in your guidance for tariffs this year? Which countries and how to think about that?
Al White: Sure, Craig.
Craig Bijou: Yeah. So similar to other companies, you know, the way that we account for
Al White: the activity and cost of goods, we often capitalize that in and run that through the P and L six months later. So a lot of the activity Activity that that's impacting us this year is really impacting us in Q4.
Craig Bijou: We do have a lot of our manufacturing
Al White: really does support the markets in those regions. So we benefit from that activity, but where we are seeing a tariff impact
Craig Bijou: predominantly is from manufacturing out of Hungary,
Al White: and to a lesser extent manufacturing out of The UK. So
Craig Bijou: that impact is impacting us this year. I talked about the 3% for next year.
Al White: And that basically summarizes it. We're using basically today's expectations on tariffs.
Craig Bijou: Oh, I'm sorry. I said
Al White: I think I said Hungary. Hungary is actually let me let me correct that, actually. Costa Rica is the biggest impact to tariffs to us. Second is The UK. Hungary is is negligible.
Jonathan Block: Hopefully, that's clear. Are
Operator: next question comes from Joanne Wuensch from Citibank. Please go ahead.
Joanne Wuensch: Good afternoon, and thank you for taking my questions. I I actually have two. What I'm trying to get my head around is,
Joanne Wuensch: when you put the new guidance together, much of this is reflective of, oh, this is what we're seeing in the market much of it is this is what others are reporting And how much of it is maybe conservatism? I'm I'm trying to get my head around this cause you did just speak the quarter. And then I have a follow-up question, please.
Al White: Yep. That's very fair, Joanne. It it and a part of it is, yeah, what we've seen other people reporting. I was a little surprised by some of the numbers that came up, but what we see reporting, Q1, 4%. What we've seen in the market, we are seeing some tightening of the market when it comes to the channel inventory that we've been talking about. And then I would say a portion of it, to be fair, is conservatism. I think that we needed to reset our numbers. We our expectations were out there were a little bit high. We just had a good quarter. We just did 7%. We beat expectations for vision. We beat expectations for surgical. We beat earnings expectations. Mean, frankly, we raised revenue guidance at the midpoint. We raised earnings guidance. So it's in across the board. Raise on that. Having said that, right, you look through that organic growth rates, and I think it's just a prudent time to be a little bit more conservative.
Joanne Wuensch: Thank you. And and my follow-up question has to do with FX. Because FX has moved so dramatically since we all got together and talked you know, less than ninety days ago. What are you dialing in for Apex, Impact, And and can you just remind us how to think about that? As we go forward and the world continues to to dance or shift. Thank you.
Al White: Yeah. I'll comment quickly, and then Brian obviously knows this like the back of his hand. With respect to OpEx, the one thing I would say is I think people are probably underestimating the efficiencies that we're driving in the organization. Right now. Like, there's a lot of moving parts here, but the operational efficiencies that we're delivering from our manufacturing team who's driving cost per units down on on the products and then the leverage that we're getting through the p and l that Brian talked about. Right, in some of these areas like distribution is quite a bit more, I think, than people are thinking. You know, we invested a lot of money for a couple years there, and people saw that in terms of our investment activity and so forth. Those returns are now starting to work their way through the p and l. So there's a lot of noise with FX. Right? But it's operational efficiencies. And I'll turn it over to Brian because he's a big part of that, and he's one of the guys who's driving that throughout our entire organization. So if he deserves credit, I should shut up on my end talk. I mean, I I think, Al, you said it pretty well. I mean, we are it's it's a lot of a lot of really hard work being demonstrated by our operational leaders around packaging, labeling, manufacturing, shipping, that's all across vision surgical working together, really grinding away and making sure that we get the leverage from that prior investment activity. And that's also true within OpEx. We all have to remain vigilant and disciplined during these uncertain times
Operator: Thinking about and managing our expertise here our our our expenses closely. So when you've got a big FX move as we've done, when we took down the revenue ranges at the midpoint, for organic growth, you know, the the operational efficiencies and cost of goods and in OpEx really helps offset all of that. And so what you're left with is is FX really being a big part of the the EPS raise. Along with the Q2 beat and the impact of tariffs. So that's how you get to the 10¢. Our next question is from Young Li from Jefferies. Please go ahead. Alright. Great. Thanks for taking I guess to start, I wanted to hear a little bit about the private label business growth, if you can provide any on sort of the growth versus branded and know, if you can sort of comment in general there's any differences between for the higher priced products versus lower priced products that's the consumers seems to be a little bit Sure. So two things I that. I'd say private label biz for us at CooperVision, growing a little bit faster than our branded business. No real surprise there. Kinda trends continuing. I think we probably we'll continue to see that activity based on what I'm seeing out there with contracts. And sales and so forth. I think you'll see the private label business grow a little bit faster than the branded business. The high price, low price, if you will, that question, It's interesting. The high price products, when we talk about, like, MyDay, Torx, multifocals, and so forth, continue to outperform. They continue to do well. We haven't necessarily seen anyone moving to lower priced products but we've seen a shift in some of the purchasing behavior for some of those more expensive products. So, we'll see what happens with that. Like, is there a is is there ultimately a shift over to some of those where people say, hey, I wanna make sure I wanna wear my contact lenses every single day, and I shift over to Clarity or something. I don't know. We'll say, But as of right now, we're continuing to see pretty good demand and activity around the higher priced products. Alright. Great. Very helpful. Guess to follow-up, you know, your competitors launched a weekly product, things like early is pretty good. You know, wondering how much is the that. Market And you know, your I guess, interest in that type of locality, you know, if you were to try to get something out, that's similar, how long would that Yeah. That's a market. That's one that we don't really play in, which was is kinda funny because it seems like we play in every market. But that that would be a segment of the market that we're not really in, which is the the weekly slash two week market. That's, you know, J and J and Alcon. That are out there playing in in that market right now. So that's not a market we're gonna enter. Like, we're in the daily side of things. And we're in the monthly side of things. So I'll I'll leave it to those two guys to kinda battle out the winner of of that space. Our next question comes from Chris Pasquale from Nephron. Please go ahead. Thanks. Al, one, just on contact lens market and then Brian,
Young Li: a follow-up for you on tariffs. On the market, so Al, I think you used the word sound. For contact lens pricing. The biggest difference between the last few years and the pre COVID period as far as we can tell, is that pricing has been above the historical trend. So is this downshift in market growth as simple as pricing trends returning to what we used to consider normal? And then you mentioned rumblings about new price a new round of price increase to come. As you look at your own business, do you still see the same opportunities for price, as what you had the last couple years?
Operator: Yeah. I I do. I think that as an industry, right now, and I'll speak for us in particular, as we look at inflationary pressures, I think we have the ability to pass along price increases that tie to inflation. Not above and beyond that. But inflationary pricing, I think, all all people all companies can pass on. We can pass that along. A retailer selling the product can pass that along. So I don't see much in terms of pricing. Yeah. There's some rumblings out there from at least one competitor about a midyear price increase. Tied to tariffs and so forth. We'll see how that stuff plays out. But I do think that pricing right now in the market is solid. I think future pricing is probably gonna be a little bit higher than what it was pre COVID. So I think this is probably more you know, a period of of challenges around channel inventory, that type of thing, and purchasing and wearing behavior than it is anything to do with pricing.
Young Li: Okay. That's helpful. And then, Brian, you talked about a 300 basis point headwind from tariffs next year absent any mitigation efforts. If I heard you correctly. You guys seem to be perennially capacity constrained on manufacturing. So what ability does the company have to move things around if you need to, you know, get some of that production to to different geographies to try and mitigate that that impact.
Operator: Yeah. Thanks for the question. There's a number of things that we could do. You know, the first thing Al just talked about it was considering additional price increases. That's something that we don't have factored into our guidance for this year, but it's certainly something that we can consider that'll help offset Beyond that, I mean, it comes down to how do we what do we do with our supply chain flow? Where how do we manage inventory differently? And how do we adjust some of our manufacturing? We have the ability to do some of that. And we're evaluating some of those moves right now. It just seems like over the last forty eight hours, we've heard different commentary about the impact of tariffs and what might happen and what not happening as of a few hours ago. So we are absolutely in the planning mode of what should we do, what's easier to do, what's harder to do, but there's a number of things that we can do to
Young Li: to
Operator: take action on, but we just wanna make sure there's a little bit more clarity And so that's why we're taking a bit of a wait and see approach before doing anything disruptive to our operations.
Young Li: Our next question comes from Jason Bednar from Piper Sandler. Please go ahead. Hey. Good afternoon, guys. Al, I want to start and sorry to belabor this point,
Operator: the topic de jure on the CVI guidance seems to be this channel inventory dynamic. But I'm I'm having a hard time squaring that against the comment you made earlier that you you posted your best month of the year in April. So where's the disconnect? Because you obviously didn't see it in April. This have to do with what you think is happening to channel inventory for others and you expect it to happen to your business? Or is this like visibility that you have to inventory adjustments that you think are
Young Li: coming
Operator: in, like, the next few months? Yeah. Jason, you I say this, like, it feels like every quarter. I'm like, you just have to be so careful in this industry. When you look at any month performance because you talk about, like, a big April. Well, you saw the numbers. That would mean that February and March were softer months. Right? Like, let's not read too much into any individual month because you have big shipments that go to key accounts. And and and channel inventory swings that are going from one month to the next month that can impact any months or any individual quarter. So I wouldn't read too much into that. I still think at the end of the day, when you're a year in the future and you turn around and look back, right, you see big months and low months so forth as as shipments and so forth happen. But ultimately, what in up happening for the year, that's where I get back to the four to 6% growth for the full year, and that's where I get back to you know, at the end of the day, some some channel inventory contraction that happens in the marketplace. Okay. Alright. Fair enough. On on the pricing side, just a a follow-up there on some prior questions. I mean, we've seen some of those pricing schedules from one of peers. They do look like some large price increases. I I guess, I'm curious how you're thinking about your business in response or your pricing strategy in response. Do you try to move forward in a similar fashion because you now have coverage to take price as well? Or are you going to take an approach of wait and see how the market responds to these you know, tariff related increases and then proceed as such. Yeah. Right now, I'm not gonna give any other color other than to say we're evaluating it. Like, we'll see what's what's going on with the market, and we'll evaluate it. And if it's appropriate to to take price increases, we'll look to do that and if we decide not to, we won't. So the team's working on that right now.
Young Li: Our next question comes from Brett Fishbin from KeyBanc Capital Markets. Please go ahead.
Operator: Hey, guys. Good evening. Thanks for taking the questions.
Al White: Just wanted to ask if you could expand a little bit on what you're seeing around broader demand for Toric and multifocals. It seems like we got into, like, a pretty steady cadence of double digit growth from those categories for a pretty long time. Just like noting, you know, growth has come in a little bit, I think, 7% this quarter. And a lot closer to growth of the overall CPI portfolio. So just wondering if there was any competitive dynamics to call out or or anything else that might be driving that. Thank you.
Operator: Yeah. No. Not too much. I mean, I remember when I those numbers coming through this quarter, I asked that same question. Right? But there's not too much to read into that. Now toric and multifocals continue to do well. You definitely get some activity associated with DAILIES. Now that now that that marketplace has shifted more it it continues to shift more and more to dailies. You're getting some bigger swings in some of those kinda numbers, but, no, that toric and multifocal markets continue to do well in our products. Continue to do well there. That got a little bit more tied to some of the bioaffinity shipments that going out there for those products. I wouldn't read too much into that.
Al White: Alright. Very helpful. And then I'll just ask a really, really quick follow-up I think last quarter, you know, you mentioned that China was a decline year over year. Just curious, if you're able to give any color on how China performed in CBI this this quarter as well. Thank you.
Operator: Sure. Yeah. China was down quite a bit last quarter. It was essentially flat this quarter for us. Our MiSight business was actually down a little bit. I mean, we had 35% growth in MySite on a global basis with China being just a little bit negative, but essentially a flat business. In China for Q2.
Young Li: Our next question comes from Steve Lichtman from Oppenheimer and Company. Please go ahead. Thank you. Evening, guys. Al, I wanted to follow-up on your comment on MiSight. I think you mentioned price isn't a headwind. Based on your analysis. But you are instituting the pretrial program. So what is driving you to start that program if if price isn't a factor?
Operator: Yeah. Steve, %. So we we did this work. We've done it for actually, decent period of time in a lot of different markets. Looking at the annual price of that and thinking, hey. That's the thing that's holding back greater adoption of this product. What we've really truly found out is it's not that. It's the initial pricing. It's the initial activity. You have to get the parents comfortable that their child can wear contact lens. You have to get the child comfortable that they can put the contact lenses in and take the contact lenses out. The parents are kinda saying, hey. Listen. I don't wanna go down that journey and pay all this money upfront. When I don't think that my child's gonna be able to wear them or like to wear them or so forth. So I'm hesitant to even get started in my site because of that. Once you go to them and say, hey. Here's three months free, Go ahead and try this product. Right? These are the daily lenses. Here's three months free. Go ahead and try them. Wear them. Make sure that your kid can wear them. Make sure that your kid is getting the treatment benefit that the the eye care practitioner is saying they'll get. Once you give them that and the the kid goes through the process of figuring out how to put the lens
Young Li: in and take them out, I mean, bam, they get the visual correction associated with it. The lenses. The kids love it and wanna stay in them once they get comfortable with it. The parents go back and say, wow. This treatment is actually working. I really like the fact this treatment is working. I wanna continue to offer that to my child. Once you get over that hump, then you're in. That's where the the retainage rate's, like, 90%. So what we've really found is it's not that annual cost. It's the cost of the initial purchase activity. You have to hook them, if you will, into the value of contact lenses and into the value of the treatment. Probably not a shocker. When you look at the massive success that you're seeing from Spectacles, outside of The US, right, when you see it in China and European markets and so forth, Right? I mean, parents are very interested in it. If the hesitancy is tied to that initial cost. So that's what we're talking about with the free initial trial period.
Young Li: Got it. Thanks, Al. And then and then just quickly on the fertility commentary, you mentioned some capital purchasing delays given the macro. Was that a comment for any particular region, or are you seeing that globally? Any more color on that? Thanks.
Operator: Yes. We're we're seeing that well, for us, that's that would be greater in age in Europe and in and India, but we're also seeing that some here in The Americas. It it's prevalent in a number of locations right now. I I don't think that's going away. I think it's more somebody a fertility clinic looking at stuff saying, hey, do I need some new workstation Do I need some of that kind of activity? Yes. I I would like to upgrade Do I have to upgrade today? No. I can I can delay this activity a little bit? It seems to be much more tied to that anything else.
Young Li: Our next question comes from David Saxon from Needham. Please go ahead.
David Saxon: Great. Thanks for taking my questions. Maybe just a follow-up on
David Saxon: Steve's on the MySite. So you talked about the promo activity during the third quarter. Can you quantify the impact of that that you're expecting? And then for the myopia management portfolio, including Ortho K, can you talk about the profitability of that portfolio? Is it profitable? And then longer term at scale, how how should we think about the margin profile relative to kind of core CVI margins? Sure. So yeah. I I was talking about my side. Right? We're we're doing a lot of this activity. I guess I don't wanna lead anyone down the the wrong road. I mean, my side in Q3 is still gonna be a decent quarter. My guess is probably 25, 30% growth, something like that. And then we'll see my expectation is we're over 40% growth in Q4. So if this goes the way I think it's gonna go, solid quarter in Q3, maybe just a little bit lighter and good strong Q4. Ortho K this quarter was roughly flat. When I look at those combined from a profitability perspective, gross margins are good on those, kinda would fall in line companywide averages, if you will. Operating margins, depending upon how you allocate costs, you could argue those are are still lighter because we're still in investing a lot of dollars. We're as you remember, we're integrating a lot of the sales activity into our regular commercial infrastructure. To to be able to sell the product more efficiently and and get better coverage. So I think that at the end of the day, long term, that is going to be a margin accretive portfolio for us.
David Saxon: Our next question comes from Patrick Wood from Morgan Stanley. Please go ahead.
Patrick Wood: Hey. Amazing. Thanks. I'll I'll keep it just to one, to try and keep it time efficient. I don't mean to belabor the point, but the industry has taken probably cumulatively 10, 15% gross pricing over the last couple of years. Is it the like mix of new fittings that's giving you confidence that you're not seeing
David Saxon: any real beginnings of change in consumer behavior? I hear them destocking and holding less, and I think there's a cumulative price increase. It just
Patrick Wood: you know, you can't help but worry a little bit on our end. Anything you can kind of speak to confidence around how they've absorbed that aggregate total pricing, I I'd love to hear anything. Thanks.
Al White: Yeah, Patrick. You know, something I didn't touch on that I probably should touch on here because I think it's a component of what's happening. And that's is some of the legacy products that are out there. Legacy hydrogel products. That are out there. That's still a decent portion of the market. There's still quite a bit of of older legacy hydrogels that are out there. That a lot in the industry are moving out of. We're moving
Operator: of. Like, our
Al White: traditional hydrogel sales declined pretty decent this quarter. Right? They they are masking our growth, if you will. And I think you're seeing some of that impact in the marketplace. So as you're seeing older traditional hydrogels continue to decline, and people tighten up on the what's out in the channel associated with those products is those products, the decline and go away because a lot of people are discontinuing those. I mean, we are. We discontinued we had millions of dollars of discontinued sales this quarter. From older products. Right? So as we continue as company, as an industry, to shift away from some of these legacy hydrogel products, that puts pressure on channel inventory and puts pressure on our as reported growth rates. You flip over to the other side because, Patrick, I get your point a little bit of a head scratcher here, and you say, okay. Price is there. We're not seeing a pushback on price, which we're not. We're continuing to see good growth in these specialty lenses and these higher priced lenses and so forth. We're getting good fitting activity. It's a little bit of how do I reconcile that. Like, we shouldn't ignore the negative impact coming from some of these traditional hydrogel lenses because they are impacting industry growth
Operator: They're
Al White: certainly impacting our growth because we're dealing with that. So so that's an important component. I probably should have said that earlier.
David Saxon: Our next question comes from Navann Ty from BNP Paribas. Please go ahead.
Navann Ty: Hi. Thanks for taking my question. So back on fertility, there's a fertility pharma company that reported sluggish performance in China, but did not realize down their global fertility guidance. So I'm curious what is Cooper's original mix for fertility revenue or maybe due to a difference between fertility consumables and therapeutics. Thank you.
Al White: Yeah. We do not have any fertility pharma products. So I I would definitely split those two. Right? When you look at a fertility treatment, the largest cost associated with that treatment is on the pharma side. And we just don't have those products. So when I'm speaking about fertility growth, I'm talking about know, consumables, genetic testing, donor activity, capital equipment, and so forth, but not pharma based. So I I definitely
Operator: wouldn't
Al White: automatically link any commentary or any pharma sales activity to our our industry. Or our market, if you will.
Operator: There are no further questions at this
Brian Andrews: time. I'll turn the call back over to Al White. President and chief executive officer.
Operator: Great. Thank you, everyone. Appreciate the time.
Al White: Know we had a lot to go through there, and, hopefully, we were able to communicate all that clearly. Look forward to catching up with people during the quarter, and certainly look forward to our next earnings call. Thank you. Thank you, operator.
Brian Andrews: This concludes the meeting. May now disconnect.